Operator: Good day and welcome to the DXP Enterprises Incorporated Fourth Quarter Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mac McConnell, Senior Vice President of Finance and Chief Financial Officer. Please go ahead, sir.
Mac McConnell: This is Mac McConnell, CFO of DXP. Good evening and thank you for joining us. Welcome to DXP’s fourth quarter conference call. David Little will also speak to you and answer your questions. Before we begin, I want to remind you that today’s discussion will include forward-looking statements. We want to caution you that such statements are predictions and actual events or results can differ materially. A detailed discussion of the many factors that we believe might have a material effect on our business on an ongoing basis is contained in our SEC filings, but DXP assumes no obligation to update that information. I will begin with a summary of DXP’s fourth quarter 2014 results. David Little will share his thoughts regarding the quarter’s results, then we will be happy to answer questions. During the fourth quarter of 2014, DXP performed its annual goodwill impairment tests for each of our reporting units. As a result of this test, DXP determined a pre-tax $117.6 million write-down of B27 and Natpro goodwill was required. After-tax, this charge was $102 million or $6.66 per share. Additionally, during the fourth quarter, DXP finalized the purchase accounting for customer relationships for B27 and amortized these relationships on an accelerated basis. This revision increased 2014 amortization expense by $4 million or $1 million per quarter. The first three quarters of 2014 have been revised to reflect this increased amortization expense in each quarter. This revision will result in 2015 and 2016 amortization expense being $3.5 million and $2.8 million greater than before the revision respectively. Sales for the fourth quarter increased 21.9% to $382.5 million from the fourth quarter of 2013. After excluding fourth quarter 2014 sales of $51.1 million for businesses acquired, sales for the fourth quarter increased $17.7 million or 5.6% on a same-store sales basis. Sales of Innovative Pumping Solutions products increased $35.5 million or 66.1% to $89.1 million compared to $53.6 million for the 2013 fourth quarter. After excluding 2014 IPS segment sales of $30.59 million for B27, IPS segment sales for the fourth quarter of 2014 increased $4.5 million or 8.5% from the fourth quarter of 2013 on a same-store sales basis. This increase primarily resulted from continued demand from upstream production and midstream customers. This fourth quarter organic sales increase of 8.5% is better than the 2014 annual organic growth rate for IPS of 3.9%. Sales by our Service Center segment increased $28.2 million or 12.6% to $252.5 million compared to $224.3 million of sales for the fourth quarter of 2013. After excluding 2014 Service Center segment sales of $20.1 million for businesses acquired, Service Center segment sales for the fourth quarter of 2014 increased $8 million or 3.6% from the fourth quarter of 2013 on a same-store sales basis. This sales increase is primarily the result of increased sales of cutting tools and safety suppliers and services. The fourth quarter organic sales increase of 3.6% is better than the 2014 annual organic increase of 2.5%. Sales for Supply Chain Services increased $5.1 million or 14.2% to $41 million, compared to $35.9 million for 2013 fourth quarter. The increase in sales is primarily related to increased sales to new and existing customers serving the automotive, oil and gas, mining and general manufacturing markets. The fourth quarter organic sales increase of 14.2% is better than the 2014 annual organic increase of 11.2%. When compared to the third quarter of 2014, sales for the fourth quarter of 2014 decreased $4.6 million or 1.2%. This 1.2% decline is less than the 3.1% fewer days in the fourth quarter than in the third quarter. Sales per business day in the fourth quarter increased 2% over the third quarter. Fourth quarter 2014 sales of Innovative Pumping Solutions products increased $450,000 or 50 basis points compared to the third quarter of 2014. Sales per business day increased 3.7%. This increase is primarily resulted from continuing demand from our upstream production and midstream customers. Fourth quarter 2014 sales by our Service Centers segment decreased $2.6 million or 1%, compared to the – to the third quarter of 2014. Sales per business day increased 2.2%. Fourth quarter 2014 sales for supply chain services decreased $2.4 million or 5.6% compared to the third quarter of 2014. The decrease in sales is primarily the result of 3.1% fewer business days in the fourth quarter combined with several customers that closed for a week for the holidays in December. Gross profit as a percentage of sales for the fourth quarter of 2014 decreased to 27.9% from 30.2% for the fourth quarter of 2013. This decrease was primarily the result of decreases in the gross profit percentage for each of the three segments. For Service Centers the decline in gross profit percentage is primarily the result of the decline in sales of higher-margin safety services work and equipment rentals primarily related to work over rigs in the U.S. and drilling and well completions in Canada. This decline in sales of safety services and equipment rentals to the upstream oil and gas industry was offset with increased sales of lower margins safety products to industrial customers, which contributed to the decline in gross profit margin. The decline in the gross profit percentage for the IPS segment is the result of three orders with lower than normal margins being completed in the fourth quarter. The decline in the supply chain gross profit percentage resulted from a change in the product mix to our customers. SG&A for the fourth quarter of 2014 increased $14.5 million or 21.8% from the fourth quarter of 2013 compared to the 21.9% sales increase. This increase is partially the result of $8.1 million of SG&A expenses associated with acquisitions completed during 2014. As a percent of sales, SG&A was consistent with the fourth quarter of 2013. Excluding the effect of the $2.8 million reversal of the Natpro earn out in 2013 and expenses from businesses acquired on a same store sales basis SG&A increased by 5.5%. This increase is primarily related to the 5.6% organic increase in sales. SG&A for the fourth quarter of 2014 decreased $1.5 million or 1.9% from the third quarter of 2014. As a percentage of sales, SG&A decreased to 21.2% from 21.3% for the third quarter of 2014. The decline in SG&A is partially the result of the 1.1% decline in sales in the fourth quarter from the third quarter. Corporate SG&A for the fourth quarter of 2014 decreased $1.6 million or 12.2% from the fourth quarter of 2013 and decreased $300,000 or 2.8% from the third quarter of 2014. The decrease is partially resulted from decreases in incentive compensation in connection with lower pretax income and on comparison to the fourth quarter of 2014 due to the fourth quarter of 2013, including $1 million of B27 acquisition expenses. Interest expense for the fourth quarter of 2014 increased 117% from the fourth quarter of 2013. This increase was primarily due to the increased borrowings to fund 2014 acquisitions. The increased borrowings also increased the interest rate on our borrowings compared to the fourth quarter of 2013. Interest expense for the fourth quarter decreased 11.1% from the third quarter of 2014. This decrease was primarily due to a reduction in the average debt balance between the two periods. Total long-term debt decreased approximately $38.1 million during the fourth quarter despite spending $5.1 million of cash on treasury stock and $3 million of cash on purchase of fixed assets during the quarter. In fact, we reduced debt by $80.3 million during the second half of 2014. Total long-term debt was $411.5 million at December 31, 2014. At December 31, 2014, the amount available to be borrowed under our credit facility was approximately $51 million and our bank leverage ratio was 2.9 to 1. At December 31, our borrowings under the credit facility were at an average interest rate of approximately 2.2%. Cash on the balance sheet at December 31 was $47,000. The December 31, 2014 accounts receivable balance was $239.2 million. The inventory balance was $115.7 million at December 31. Now, I would like to turn the call over to David Little.
David Little: Thanks, Mac and thanks to all those participating on our call today. DXP accomplished a lot in 2014 and we would like to thank all of our DXP people for the financial results they had this year. We were focused on improving and managing our growth, culture, expenses, working capital and ease of doing business with our segments and product divisions. We made meaningful progress with Natpro and positioned ourselves at B27 for future success in 2015 and beyond. Additionally, during the quarter of the year, we were faced with increased volatility in the upstream oil and gas market and the drop in oil prices. That said we remain focused on executing our strategy achieving our goals of growing sales and in the EBITDA line, efficient working capital management and strong cash flow generation. Q4 sales were up organically 4.64% and up in total 21.91%. Q4 sales were basically flat compared to Q3 2014 when compared on a same-day basis. Gross profit as a percent of sales was down because of three different jobs in our IPS segment, one at our 529 facility was a large job taken at low margins to beat the competition and strengthen our position with a large midstream account. The second job with B27, this was $11 million order was taken in the low-teens to keep out the competition of one of our good accounts. So, we match the competitor’s price. The third job was the cost overrun to get a job out before the end of the year and we had to outsource a lot of the work at a higher cost. It is not unusual to have these types of orders, but not usual to have all elements in the same quarter. Note, these orders were received much earlier in the year and are not considered a trend. Q4 expenses were in line at 20.93% of sales, excluding the impairment charge in the additional amortization. Interest expense was down compared to Q3 2014 as we continue to pay down debt. Our leverage ratio improved from 2.92 to 1 to 2.91 as our debt was paid down $38.1 million in the quarter. For 2014 versus 2013, sales were up 20.8%. Sales organically was up 3.8%. Gross profit is down as a percent of sales 1.13%. And the reason is that the Service Center segment has reduced gross margin of 1.04% caused by a reduction in safety services business, which has high margins and replaced with safety products sales with low margins. Safety sales were up slightly $1.7 million with gross profit being down $8.3 million. The IPS segment gross profit was down 86 basis points, because of the three jobs in the fourth quarter. IPS gross margins would have been up without these jobs. Of course, we did make money on these jobs just not as much as normal. Supply Chain Services was also down 74 basis points. Expenses are down as a percent of sales by 29 basis points excluding the impairment charge and additional amortization. Segment operating income is up – segment operating income was up $19.3 million, but down to 11.51% of sales versus 12.36% of sales in 2013. The decline in the Service Center and IPS segment was for the reasons that were given on the gross profit missing our target. Our oil and gas customers are wanting cost reductions. And DXP can help them. First, Supply Chain Services can help big time with guaranteed cost savings and our safety services division can reduce our labor charges without hurting margins. My point here is DXP believes it can gain market share by helping our oil and gas customers to reduce their cost without reducing our operating margins. DXP safety is building one of the best safety companies in our industry. We will get stronger in the industrial plant turnarounds which will help diversify our oilfield safety services. We want to be the best safety service company in both industrial and oil and gas plus grow our safety products revenue. DXP rotating equipment division is doing a great job to help our customers save money. Natpro and B27 are going to be a big part of our future success. DXP metalworking is working hard to make all of DXP easier to do business with by creating multiple channels. The customer can decide how he wants to place orders with us. Acquisitions in this space, is working great and we continue to strive to build a $1 billion company in metalworking. DXP bearing and power transmission is doing well by being innovative. We like what this business division does for our local customers that appreciate supercenters and people expertise. We are also doing great things on preventative maintenance and reliability. Allow me now to focus on summarizing activities within the three business segments: Service Centers, Supply Chain Services, and Innovative Pumping Solutions. DXP Service Center segment had sales increase of 11.61% with an operating income margin of 10.91%. Organic and acquisition sales growth was driven primarily by Texas, Gulf Coast region, Ohio River Valley region, North Texas, and North Central regions. While these regions showed improvement in contributed ing profit margins over fiscal 2013, additional regions also improved profit margins included South Atlantic, Ohio River Valley and the Alaskan region. Natpro also showed meaningful progress during the year. From a product perspective, DXP Service Centers saw strong growth from the metalworking and rotating equipment divisions with margin improvement within the bearing and power transmission business and the rotating equipment product division. That said, DXP safety products and services division lost service work to a major customer during the year and was able to replace those sales, but with product sales, which have a much lower gross profit margin. During the year, we acquired Machinery Tooling and Supply and completed three integrations, Tool-Tech, Tucker Tool, and Alaska Pump. We look forward to all their growth under DXP and becoming a part of our business model. While DXP Service Center segment performed well overall, 2014 proved to be a challenge. Several factors contributed to the challenges we faced this year. Modest GDP growth, negligible price inflation, overall margin pressures specifically from upstream oil and gas companies and a shortage of skilled labor in key energy markets, the cumulative effect of these headwinds impeded efforts to grow our historic growth rates while impacting margins. Throughout 2014, our Service Center management team successfully converted five in process Service Centers to SuperCenters. As we move into 2015 our network of 42 SuperCenters has the momentum to convert an additional four by the close of year. Our improved ability to convert SuperCenters – Service Centers prospects to supercenters has led to a decrease in the number of in process Service Centers currently in the pipeline. We continued to actively seek out new SuperCenters candidates and we will report our progress throughout the year. Moving into Q1 of 2015, we remain optimistic about our end markets that are not tied to the upstream oil and gas market. Our Service Center network is powered by five product division platforms that are designed to provide sustainable business results for our industrial customers. We will continue to review our locations upon opportunities for customer and product expansion, the cornerstone of our branch based model as our SuperCenter strategy. This customer driven strategy continues to create value for industrial customers seeking to consolidate their vendor base without sacrificing local inventory and expertise. Broadening our portfolio of technical products and services, recruiting top sales talent and acquiring great companies will continue to be our recipe for SuperCenter expansion. We believe that 2013 and 2014 investment in people, facilities, and acquisitions are going to help offset the decline in the upstream energy market. Our investments in the form of acquiring sales personnel, while remaining committed to growing from within through training and mentoring programs are paying dividends. Collectively, our investments allow us to take full advantage of the industry leading breadth of technical products and services. It is this local breath of technical products and services that provides us with a sustainable advantage over small mom-and-pop distributors during market down – turn downs. Industrial customers are looking to their suppliers for help in weathering economic storms through product consolidation and added value services that help improve productivity and lower their total cost of ownership. We are looking forward to competing and winning in 2015, our focus will remain on further strengthening our North American service center platform through the creation of super regions and SuperCenters that will provide sustainable benefits for the industrial customer looking to improve their overall production and financial performance. The data points to Service Center, America locations we have 168 Service Centers, in Canada we have 34 SuperCenters, 42 SuperCenters in progress four distribution centers, seven fabrication centers 10, and we are in 34 states. IPS, upstream oil and gas and mining sector, land based, quote activity and order rate and order hit rate in this sector show a slight softening towards the end of Q4. This is the result of lower oil prices. We expect this profile to remain consistent through Q1. We come into 2015 with a comfortable backlog, currently we have had minimal exposure to cancellations of orders that we have booked to be placed on – or to be placed on hold or canceled. Based on customer feedback the equipment was for wells that have not been drilled yet. Mining cap projects in the copper mining segment continued to be depressed due to low cost of the commodity based on the customer’s feedback we were gathering. Midstream, upstream as reported last quarter this sector continues to produce the majority of quote and order activity. The Eagle Ford, Permian, the Bakken shale plays continue to provide a majority of this activity. The Marcellus and the MRO continued to provide opportunities, however, not at the rate that the Eagle Ford, Permian and Bakken shale plays. The order profile for the majority of products being quoted and sold in the Bakken continues to be associated with LACT units. There has been resurgence in activity in saltwater injection market and other production facilities and terminal pump activities. The equipment from the terminal loading and offloading facilities utilizing our centrifugal packages are being fabricated in 529 Houston and Golden, Colorado locations. Our LACT units being produced in West Texas are being utilized in the Eagle Ford and the Permian shale plays. We have had recent success in securing several orders of LACT units in the Permian Basin of new well sites. The LACT unit market in the Eagle Ford and the Permian shale plays has traditionally been a low margin market. Our strategy was to take this business and capture market share with existing customers, so we have a great relationship with and allow us to make an acceptable margin. Our high-end multi-stage remanufacturing equipment and rewrite business remains robust. The equipment is being utilized in the midstream sector, gathering stations and booster station applications in the crude oil and LNG application requirements. We continue to provide a delivery proposition for our horizontal pumps centrifugal pump equipment and our remanufactured high-end equipment with lead times that allows us to outperform our competition when delivery is the major factor. This capacity will allow us to maintain our margins when delivery is critical. B27, the market opportunity for this product both domestic and international are providing impressive quote activity and order rates. This product is primarily used in midstream and upstream markets. The delivery proposition, quality and price point we provide is very attractive to the customers with requirements for new equipment in this product line. We are very optimistic our U.S. midstream upstream opportunities will remain strong for Q1. Gulf of Mexico, this sector continues to remain soft. We currently are engaged in a fiberglass project that we were awarded an order in Q4. This was a significant win for our fiberglass pipe division. We are currently activity with upcoming new platform projects for modular rotating equipment opportunities that are expected to start issuing orders for the equipment in 2015. Canada, municipal markets in Eastern Canada continue to be slow to rebound. Oil and gas, the low oil prices have had a significant impact on this sector as it relates to capital projects. We expect to experience price and margin pressures on capital projects if they get approved. Innovative Flow Solutions, we are optimistic that the upcoming opportunities for modular rotating equipment packages in North America. We have had recent success with our modular packages designed to filter the liquids and gas products produced at the wellhead and gathering stations. Increased regulations by the pipeline transmission companies will require filtering certain components from the liquids and gas prior to the product being put in the pipeline. These type of project opportunities are expected to be robust in 2015. Mideast, the modular packaging opportunities have not developed as we expected thus far. We remain focused on the region in all opportunities. Our quote activity is consistent. The current state of unrest in the region is definitely having a negative effect on the project opportunities. We are optimistic Q1 performance will be in line with Q4. We feel that our opportunities on approved CapEx projects will be competitive and price sensitive. This will require strategic rationalization of market to customer complete scope of the project, the equipment, and the competitors we are quoting against. What is the realistic pool expectation of the customer, what is most important to him, and what value is he placing on each? Understanding all the aforementioned components will allow us to make the proper strategic business decision to take market share at margins that support our business model. Supply Chain Services, DXP Supply Chain Services team rounded out the year with a solid contribution to both top and bottom line while securing additional customers and renewals in the fourth quarter. The year end is typically slower based on fewer billing days and weather. The majority of the customer base closed through the holiday season – the majority of the customer base is closed through the holiday season as a result of continued slow business climate as well as midweek holiday schedules. SCS secured the renewals of several customer contracts in Q4 and two additional sites increasing our site locations to 74. These renewals were with major customers with 3-year extensions ensuring continued revenue and potential for more locations. In Q4 and Q1, the SCS team began five onsite implementations, which are scheduled for completion and will begin generating revenues in Q2 and Q3 of 2015. These new customers are a mix of markets of chemical, oil and gas, manufacturing adding diversity to the SCS’ customer base. SCS could see some fallout from the downturn of oil and gas markets as customers are tightening their belts and looking at alternative solutions to decrease the chance for employee layouts. However, we view the oil and gas downturn as a great opportunity to save our customers’ money by using SCS’ proven, guaranteed cost savings program. We are strongly pushing our sales team to increase all leads and opportunities for cost savings and lead supply chain has become a high priority. The markets we serve are always a challenge as they are never all up or all down. We have done a deep dive into our customer base to determine our market potential. DXP identified 31 market categories as follows: onshore upstream drilling and development, onshore upstream completion, onshore upstream production, midstream downstream refining, downstream petrochemical, offshore upstream drilling development and completion, offshore upstream production, engineering and construction upstream, engineering and construction midstream, engineering and construction downstream, chemical, building products, food and beverage, transportation, telecommunications, automotive, mining, sanitary, steel, resellers, military, agricultural, municipal, power, pharmaceutical, alternative energy, aggregates, pulp and paper, wood products, and other industrials. To give everyone some highlights, onshore upstream production is our largest category at 22% and DXP feels that this market will be flat. Onshore midstream at 17% is our next largest market and we feel that this market will be flat. Third largest is onshore upstream drilling and development at 8.7% of our business and it will be down. Fourth at 4.8% is onshore upstream completion and it will be down. Food and beverage at 4.7% is our fifth largest and it should be up. Chemical at 3.9% is the sixth largest and it should be up. Offshore drilling, development and completion at 3.3% will be down. Onshore downstream petrochemical at 3.1% should be up. Onshore downstream refineries at 2.6% should be up. Engineering and construction upstream at 2% could be down. Engineering and construction midstream at 1.1%, our best guess is flat. Offshore upstream production at 0.6% could be up. Engineering and construction downstream at 0.5% should be up. I am grouping everything else as industrial and it should be up with some more than others. This is not perfect as some customers are hard to breakdown into just one category. So, we dove deeper into the orders and did the best we could. The point is to manage our resources the best we can and to make smart business decisions on people investments. We also broke this data down by segments and compared this to our salesmen’s forecast for a sanity check. As you know, we do not give forecast, but organic growth, which comes from price increases, the economy and market share gains, should be up for our industrial business and slightly down for oil and gas business with midstream and production being okay and drilling development and completions being down. We will continue to grow through market share gains and profitable acquisitions. And since earnings per share, is meaningless for an acquisition growth company, DXP will focus on growing cash flow, sales, and EBITDA. We are now open for questions.
Operator: Thank you. [Operator Instructions] And we will go first to Matt Duncan with Stephens Incorporated.
Matt Duncan: Hi, guys.
David Little: Hi, Matt.
Matt Duncan: So, David, you went through a lot of detail there and that was very helpful for the better understanding where the exposure is. And I think what we are all probably going to be try and get – we ultimately get at here is when we aggregate all that. Do you feel like the business is going to be up or down this year? And when you look at maybe the easiest way to do this is to lump it into the three buckets from the press release, 19% is for upstream oil and gas, that’s clearly going to be down, 41% is a combination of production in midstream, depending on what production does this year that could be flat or I guess if we see a tail off in production in the back half, maybe there could be an impact, but it’s too early to tail, but the 40% industrial is going to up. How do we think about how all that sort of come together? What do you expect to see happen to your sales and profits this year?
David Little: Well, I am encouraged that I feel pretty strong that our profit margins should be okay. Our safety services, which is directly tied to drilling is going to – we have been asked to lower our prices 20% and so we have done so, so that we can grow market share at the expense of others. But at the same time, we have asked which they expected was to take our labor cost down 20%, so that we will maintain our margin. So, the sales dollars will go down in that area, but we think our operating income as a percent of sales will be able to be maintained. We have gone through all kinds of gyrations of saying okay, that business is going to be down 30%. This industrial business is going to be up 3% to 7%. This should be flat. This should be okay, could grow. Our backlog is pretty good. And then I guess then the other question is just how long do oil prices stay depressed before they reach? They are not going back to 100, but they go back to something that makes everything a lot more normal. And there are just so many variables there, but based on what our salesmen are forecasting and what they see and based on our own knowledge and then I think we really did a deep, deep dive into an analysis of the not only just the 31 markets, but how much do we participate in each one of those. And we don’t see it being that bad. If I was guessing, I think most people are forecasting for us to be a little bit down. I hope that’s not the case and of course that could be offset by acquisitions, etcetera going forward, but if you want to just put your – put on my neck and hold me down to something that I think it’s a very small percentage down.
Matt Duncan: Okay. And maybe I think the segment that we are probably all struggling with the most at least I know it seems to be the one at least clear to me is what happens with IPS this year, that business has gotten a lot of CapEx lean to it, but I understand it’s also got a lot of production and midstream lean to it, which seems to be a little bit safer although I am not sure those things will be growing much this year in terms of I don’t think there is going to be whole lot of investment in growing those, but you also had a pretty good backlog going into the year, what do you expect to happen to that segment in terms of revenue this year, will it be down in all likelihood and if so how much?
David Little: Everything at B27, their Innovative Flow Solutions and their API-610 product is telling us that they are going to be – they are actually going to be up. And then and that partly because IFS really kind of had bad year last year and so this year they are feeling much, much better and stronger about what they are going to do.
Matt Duncan: And their backlog supports that so far, David?
David Little: Yes. They have gotten – I have forgot what they told me is something like in the last 4 months orders that equal all of last year or something like that. I mean it’s – so it looks good, that might not be quite right, but it’s a very substantial increase in orders. They – and then we continue to be successful with the API-610 product in midstream and so that’s still blowing and going. The other part of the business entered the business with kind of more than half of the year made with backlog and then we continue to still get orders the HP Plus product is sold in saltwater injection and we are seeing these people that are producing X amount of oil today if they can grow it at all, they have to get rid of that water because when they are making that product, it comes with water and so they got to dispose of it. So we are seeing a lot of activity in that area. So we just don’t see IPS catering and really in anyway. It should be okay.
Matt Duncan: Few more – two more things and I will hop back in queue. I heard you talk a lot about the margin question you saw in the quarter, but it also sounds like the mix is going to be lower margin at IPS this year. The mix is probably going to be lower margin and Service Centers this year because the safety service business as I understand is the very high margin business and that’s going to be down, how do we think Mac about the gross margins going forward, most of the year was running up a little north of 29%, fourth quarter was 27.9%, but it also sounds like there was some stuff that may not repeat, so I am trying to think about how to put that all together in terms of what might happen with gross margins going forward?
David Little: You asked Mac the question, but I would like to answer. The fourth quarter had unusual gross margin events and we don’t necessarily see that happening, but on the other hand we do – we have to feel like that the industrial side that have margin pressure and in fact I think there is a lot that we need to do to raise margins on that particular side of the business. And at the same time I think our oil and gas people are – there is bound to be some pressure there. And so I see it declining some, but I don’t see it – again I don’t see it falling off the table. The stuff we are doing now is we are not cutting the price.
Matt Duncan: But somewhere between the all-in and David it sounds like it’s somewhere between the low-29s and what you saw in the quarter, there is a lot of stuff that is going to repeat?
David Little: I would pick 29 if I was guessing.
Matt Duncan: Okay. And then last thing just on M&A, one, how big is your appetite and two, how much you are going to be able to do, because I think the leverage ratio covenant is now 3.25 to 1, you are at 2.9. So, this is really kind of to a degree of function of what you expect your free cash flow to be? I know you guys target 10% top line growth through M&A. Do you expect to be able to do that this year?
David Little: I think we probably will not do that, not because I don’t believe we have the resources, because I think there is always ways of doing good deals. But I think that there is enough uncertainty in the market that we certainly don’t want to catch a following night and so but that said metalworking is really moving forward quite nice and so is rotating equipment. I am really – our long-term ability to put together a great rotating equipment company is just – is so exciting to be, I can’t tell you how exciting it is, because there is lot of people listening to this call, but it’s just really exciting to me. And of course, lot of things we are doing are really, really good. And so – and then I think we will gain market share so that when things kind of turnaround from an oil and gas perspective that we are going to be so well positioned both in safety services and rotating equipment. And so, I am pretty pumped up about where we are headed. So, then we should expect some acquisitions with a metalworking and rotating equipment focus, but you may not get to that 10% revenue growth through M&A number.
Matt Duncan: Got it. Very helpful. Thanks guys. Thanks for all the detail.
David Little: Sure.
Operator: And we will go next to Joe Mondillo with Sidoti & Company.
Joe Mondillo: Hi, guys.
David Little: Hi, Joe.
Joe Mondillo: So, in terms of I guess first I want to start with a follow-up on the B27, do you have any idea why B27 should be – is doing so much better over the last 4, 5 months given that it does have a pretty heavy exposure to oil and gas?
David Little: We are simply not – the IPS doesn’t have anything to do with drilling. And so the rig count is way, way down and capital budgets are down, but they are not down on things that are going to produce more oil, they are down on drilling and finding new stuff. And so we have a continuation, I think everybody has projected part of the problem of getting demand and supply back in shape is the fact that we are going to grow our production this year with CapEx budgets being down 30% to 50%. And so I think you have to disconnect this from what is called CapEx, Apache cuts their budget, 40%, but it’s their drilling budget that they are cutting and we are not – IPS isn’t about drilling. Now that said Joe, if we don’t get normalcy at some point in time, then the amount of drilling is not done will eventually show up, but it’s going to show up a year or two or three down the road. It isn’t going to show up today. It’s not going to show up in 2015.
Joe Mondillo: So, the 19% that you cited that’s related to upstream that’s largely in the service center?
David Little: Well, the 19% is drilling activity and it’s in the service center and it’s really pretty specific to our safety services business.
Joe Mondillo: Okay. So expanding on the IPS segment, could you cite a percentage or where your backlog is compared to a year ago? I know you don’t want to give out the exact number what it is, but in terms of just the percentage comparison year-over-year.
David Little: Yes, it’s probably slightly up.
Joe Mondillo: Okay. And in terms of the orders in say the first two months of this year, are you seeing stable orders, are they in February did you start to see any pressure or is it pretty stable in terms of IPS orders in the first 2 months of the year?
Mac McConnell: No, we are still getting our $5 million orders and smaller orders and things we are pretty consistent I think with what David was trying to say in Q1 that we expect our order intake to be good. We know…
Joe Mondillo: So the orders that you are seeing in say the first 2 months of this year are sort of comparable to what you saw a year ago?
Mac McConnell: Yes.
Joe Mondillo: Okay.
Mac McConnell: Actually slightly better because of IFS, IFS is seeing...
Joe Mondillo: So what is the biggest driver to that, is there infrastructure projects that are still needed to be billed out and is there a risk at a point, we get me to the mid part of the year and we have sort of built those out and given if oil prices sort of stay or remain where they are now, do we get to a point where maybe the orders start to catch up and you start to see pressure or how are you thinking about that part of the I guess the oil and gas sector?
David Little: I think we are – I have to look at it this way. We did an analysis of all of the down oil cycles, bad supply and supply side and demand side. And almost every cycle we saw something in the neighborhood of a 50% swing in the price of oil. Now we have never had anywhere close – during those cycles we look at our sales and they have never been down more than 5% except for 2009. 2009 was just an anomaly that we I don’t how to deal with that one, but anyway don’t give me another one of those. But so that’s part of it. But it also we know we were correct. We know that if drilling goes down significantly we start feeling effects of that a year later. So basically oil started down in October and so somewhere if we don’t get back to something that’s normal, normal to me by the way is probably $70 a barrel then you are right, then the future in 2016 we could start seeing so, sales declined.
Joe Mondillo: Okay. In terms of the margin at IPS I know 2014 was sort of a mix type issue with some lower margin type mix with B27, which sort of pressured the margin if you compare it to 2013, but we have seen 2 years now with margins falling at that segment and in the fourth quarter I guess there were some sort of – some issues that depressed it to the sort of 12% levels, just wondering what your thoughts are on the margins that you are realizing in IPS in 30th year outlook or thoughts for 2015?
David Little: Mac, why don’t you give me a minute, I am thinking that the first, second and third quarters, our margins at IPS were going up. Am I correct?
Mac McConnell: Yes.
Joe Mondillo: Well, the first quarter I think it was pressured by the B27 that’s the quarter that you saw pretty depressed margins, but beside you are right – you are right the second and third quarter were up, but if you look at the overall year including the first quarter and including the fourth quarter the overall year margins were down and then so the recent – the most recent quarter was you said there was three orders in there that were lower than average margin, I guess let me ask it this way the orders that you are receiving lately, how are the margin profiles of those orders?
David Little: There is only one reason – it was two reasons, two reasons for IPS those margins to fluctuate. One is that we simply have competition, we have got accounts and many, many, many times with our relationships etcetera. We are getting the last look. And so we decided to take something. The other which we just not had for a long, long time is that the shop gets empty. And we have got a lot of talented people and we are better off taking a job to keep people busy and to make some money than to not make any money. But we haven’t had that environment for a long, long time. And one of the orders that we got this past year that showed up in the fourth quarter was really on order we really weren’t doing a whole lot of fabrication to it. And we just took it because we didn’t want our competitor to get it, especially since the account was really the competitors’ account and we wanted to get stronger with that account. So, because we were selling them HP Plus and some other things, so we wanted to – we just wanted to strengthen our position with that account. So, there is – it is not an exact science about our – I mean, we don’t go in and say okay, we are going to make 30% on every job we do and then we have this one cost a little more than we thought. So, we only made 28 and the other one didn’t cost quite as much as we made and therefore we made 32. It truly is – every deal is different. So, it’s really, really hard to look at that. And here is another example of the API-610 stuff. We don’t make that higher margin, but it has very little low overhead, so they have 14%, 16% EBITDA margins. So, we are happy with that when in fact their gross profit in the mix kind of brings it down. So, a little bit can be said about same thing with HP Plus, but it’s – I don’t think – I think the answer to your question is there is nothing about 15 that’s making us think that we are going to lose 4 points of margin. That just doesn’t seem to be in the cards.
Joe Mondillo: Okay. Let me just ask a follow-up to that then. In terms of pricing discipline, could you talk about that, because I am just – I have been trying to understand this for I guess a couple of years now. Back in 2012 when your sales growth was you were seeing 60% sales growth obviously demand was going through the roof and there probably wasn’t a lot of capacity enough or at least enough capacity to meet the demand in the industry. And so I am sure your pricing power was much better than maybe it was today, where you are seeing organic sales growth of modest single-digits. So, how do you manage pricing discipline in a period where maybe you are seeing sort of stable, maybe a little bit of growth? And if we do see a sort of a softening say in the back of the year, how does that translate into the profits of that IPS business?
David Little: So, we start off with the salesmen, who is working with the client to meet his needs and so they are helping design this modular system to make that happen. And then an application engineer gets involved and he starts putting the bid package together and there is – he is buying motors, he is buying engines, he is buying valves, he is buying piping. And then we are estimating how long it takes us to build that by how many, as we got 2,000 hours on it and etcetera. So, there is a lot of moving parts. So, to the best of our knowledge then, we take and there are certain types of jobs that we know we have a very high probability of getting it, so we are going to – we try to make as much as we can. Then there is other jobs that we are kind of on equal footing with other people. So, we try to bid that accordingly too. And we lose jobs, I mean, you are not loosing jobs, you are not pricing a project. So, it’s not an exact science, it’s just is not and but at the end of the day we make a really, really nice EBITDA margin. And so I don’t know and if we make 16% EBITDA margin one year and we make 14% the next year. I am not going lose any sleep over there.
Joe Mondillo: Okay, but it sounds like in the near-term margins could be comparable to what you – the 15% or what you saw in 2014?
David Little: That’s right and you are correct though it if things get soft, then we will be – we will have more pressure on us to lower those margins. There is no question about that. But we are not seeing that yet.
Joe Mondillo: Okay. And in terms of acquisitions it sounds like you are going to continue to be involved this year can we expect…?
David Little: Yes.
Joe Mondillo: We should expect some in this year?
David Little: Yes.
Joe Mondillo: Okay. I will hop back in queue. Thanks a lot.
David Little: Alright.
Operator: [Operator Instructions] And we will take a follow-up from Matt Duncan with Stephens Incorporated.
Matt Duncan: Hey, guys. So [indiscernible] against just how you guys are responding to the downturn energy from a cost perspective, what are you doing on the SG&A costs side are you guys trying to cut those expenses this year, David if you assume that revenues are down a little bit can we expect the same thing out of SG&A costs?
David Little: So always remember that we are a highly incentivized company, so we have an unusual amount of variable cost in terms of commission and bonuses and etcetera. But yes at the same time there would better be a lot of justification for raises, so I would say in general there is – if not any and that’s tied specifically you got to be a little smarter about that because that’s tied to our branches that are really heavily involved in oil and gas. But if you are an industrial guy we are expecting them to grow, we are expecting them to increase their margins, increase the activity. So we would see things in that area you would give raises, you would you have maybe hopefully bigger bonuses and things. So we are trying to be smart and you can’t – we work really, really hard and trying to do manage what I will call house cats and we don’t any of those and we try really, really hard to always be pushing the envelope in terms of productivity. And so we are constantly even in good times really trying to manage our second largest expense which is our payroll, with first expense being cost of goods sold, so it’s about the people and you want to take care of the good ones as good as you can and you want to get rid of the bad ones. And so we are constantly doing that everybody down to our people in our stores and there we share financial information with them. They understand what they are trying to manage and so the only thing that’s a little different this year is every pay increase is going to be approved by me and I haven’t had to approve too many.
Matt Duncan: What about on the fixed costs side, are you looking for opportunities to cut out fixed costs I mean I understand obviously the variable cost structure and then clearly it’s worked well over the years, but what are you doing with fixed costs?
David Little: Yes. That’s typically in the form of that we have branches or stores that are performing and so therefore we certainly try to consolidate them first with some other entity that’s not too far away or ultimately we closed it down and can give up on adverse when times were good you kind of continue to write it out and try to get the right people in there to make the go of it. Today you don’t – we don’t have the luxury of doing that. So we still will shut them down. As far as bigger expenses than that, we are also constantly integrating everybody to our same computer system. And as we do that, we normally can trim some administrative costs and so we are working on that as fast and as diligently like not too far distant future, Natpro will be on our system. So we are moving forward with things that will save us money in terms of…
Matt Duncan: Okay. So the right way to think about it then is with being proactive with fixed costs and the variable side sort of taking care of itself, if sales are down, SG&A costs are going to be down, would be the right way for us to look at it?
David Little: Yes.
Matt Duncan: Okay, alright, that’s helpful. Thanks David.
Operator: And we will take our follow-up from Joe Mondillo with Sidoti & Company.
Joe Mondillo: Hey guys, I just had two quick follow-up questions, one in terms of the capital allocation and acquisitions versus share buybacks. Just wondering how you are thinking about that any differently compared to a year ago, we just stopped down here, how do you balance – how are you thinking about balancing capital allocation versus acquisitions and stock buybacks?
David Little: Well, we have been buyback enough to I think we started the year with fully diluted shares of 15,000,003 and we ended the year at 15,000,003. And so we are trying to buyback enough to kind of keep the dilution effect down to zero. Beyond that we are awful attractive at 8 times EBITDA even though we are buying unknown companies at 5, but DXP is kind of a known company to me and it’s what 8 will then I think the price is too low, so we are looking at that. So we would certainly not go out and pay 10 times for somebody when we are trading at 8. That is still making sense. So when we buy a really good company a profitable company the reason why let me just say this the reason why I think our M&A activity will be lighter this year than in other years is because we are going to be more selective in terms of what we buy. If it’s a solid company, they don’t have G&A add backs and they make really good money, and that’s the kind of acquisition we are going to do, and it’s one that wont’ have any surprises versus one that’s kind of marginal, but we want to – it’s in Seattle Washington. So we want to be there kind of deals. So we do that kind of deals, not that we don’t expect it to be good, but it’s just not a slammed up deal. So I think we will just be more selective. But you have raised a good equity question one of my jobs is to control our equity. And so we are definitely a little tighter than we normally would be.
Joe Mondillo: Okay, and then just on the tax rate Mac, is there anything unusual this year that we should expect a different tax rate than sort of 37% level you have been.
Mac McConnell: I think the tax rate when you pull out the impairment charge is probably 38.1% or 38.2% for 2014, and I would expect that to be the right for the future.
Joe Mondillo: Okay, that will do it. Thanks a lot.
Operator: That does conclude our conference. Thank you for your participation.